Operator: Ladies and gentlemen, welcome to the Uniper Analyst and Investor Conference Call Nine Months. At our customers' request, this conference will be recorded. [Operator Instructions] May I now hand you over to Stefan Jost, Head of Finance and Investor Relations, who will start the meeting today. Please go ahead.
Stefan Jost: Dear analysts and investors, good morning, and welcome to the Uniper interim results conference call on the first nine months of fiscal year 2023. I'm pleased to be here today with our CFO, Jutta Donges, who will guide you through our interim results presentation. Jutta will start with a brief wrap-up of the key highlights of the quarter and provide some explanations on the upcoming EGM, the Extraordinary General Meeting, that takes place in December. Then she will focus on Uniper's nine months financial figures and give you an update on the outlook for full year 2023. As usual, there will be a Q&A session at the end of the conference call. And with that, I'll hand the floor over to you, Jutta, please.
Jutta Donges: Thank you, Stefan. Also from my end, a warm welcome to all of you. Good morning. First of all, I would like to emphasize that Uniper's recovery remains in full swing in the third quarter. I am delighted to say that the group's adjusted EBITDA and adjusted EBIT numbers are the highest ever recorded in the first nine months of our financial year. The main drivers for the exceptional results are gained from the procurement of Russian replacement gas volumes, gas and power optimization, high spreads from the fossil fleet and improved outright margins. I will provide more detail on our figures during the presentation. First of all, I would like to touch on a few other highlights from the third quarter. End of September, Scope acknowledged Uniper's accelerated financial recovery and confirmed its investment-grade rating at BBB-, outlook stable. The rating affirmation reflects Uniper's one-notch improvement in stand-alone credit quality, which is supported by normalizing gas prices and volatilities, plus hedging of almost all risks from replacement of Russian gas supply curtailment. Nevertheless, this improvement was offset by a one-notch reduction in the rating uplift for governmental-related entities as Uniper is now less likely to meet extraordinary state support. Scope also positively highlights Uniper's new ambitious strategy to accelerate its transformation into a greener company. They state that the successful execution of our new strategy will likely support the company's business risk profile in the medium to long-term. Beginning of August, also S&P Global published a short note to positively acknowledge Uniper's new strategy, keeping the rating unchanged at BBB- with a stable outlook. Overall, these are important steps on the way to a stand-alone investment-grade rating that we strive for in the future again, which will be facilitated by implementing our new strategy. Coming now to the financing side, we can see a steady improvement in line with our operating business. At the end of September, we have repaid the last tranche of €2 billion and therefore, currently no longer drawing on the KfW facility, which stands at €11.5 billion. While our financials continue to recover rapidly, also operationally, we are making good progress. In August, we celebrated the commissioning of Uniper's new and highly flexible Irsching 6 gas-fired power plant in Bavaria. This 300-megawatt power plant serves exclusively as a lender of last resort security buffer for the energy system and will be activated when grid security is at risk. In September, the now final decommissioning of Uniper's Heyden 4 coal-fired power plant has been decided, which is an important step toward our targeted coal exit by '29. Heyden 4 had already ceased commercial operation end of December 2020, but returned to the market from the grid reserve in August last year. After the end of the market return, which is scheduled for March next year, the power plant will still be available to the system operator as a grid reserve until the 30th of September '24. Before we move on to the advanced financial recovery, let me say a few words to the recently announced Extraordinary General Meeting, which will be held on December 8. You will have noticed that we announced the upcoming EGM in an ad hoc release on the 18th of October. Please keep in mind that we, as the Management Board, are contractually obliged to take appropriate measures to enable, prepare and support the exit of the German government in accordance with the relevant stated requirements. As a result of the disruption of Russian gas supply deliveries in '22, Uniper SE reported a balance sheet loss of €24.2 billion as of December 31, 2022 under German GAAP. This balance sheet loss currently blocks any potential dividend payments. However, ensuring Uniper's future ability to pay dividend is essential for an attractive future equity story and safeguard options for a successful exit of the German government in line with the EU state aid obligations. Therefore, we undertake the necessary steps to eliminate the balance sheet loss. How to achieve this goal? It is proposed to reduce the capital stock from currently €14.2 billion to €416 million. As a first step, the par value of Uniper's shares has reduced from €1.70 to €1. This will lower the capital stock and simultaneously increase the additional paid-in capital. And the secondary necessary step, we have proposed a 1-for-20 reverse stock split. This will reduce the number of shares from 8.3 billion to 416 million and ultimately increase the currently existing additional paid-in capital from €10.8 billion by the end of 2022 to €24.6 billion. With the next Uniper SE statutory financial statements for full year '23, the new total of additional paid-in capital, together with any net income for '23, will be used to fully eliminate the current balance sheet loss under German GAAP. And following the capital restructuring, any future net income generated from '24 onwards can in principle and with a legal framework be distributed to Uniper's shareholders. While no concrete guidance can currently be given regarding a future dividend policy, the steps proposed in the upcoming EGM provides the first important step to ensure that this is possible in the future. Concrete plans on the conditions and timetable for how the German state will sell its stake in Uniper are not associated with the proposed measures. This decision lies exclusively with the German government. We will inform you about any updates in due course. Let's dive into the numbers now and move over to our key financials for the first nine months of the '23 fiscal year. After nine months of the current fiscal year, Uniper's performance has remained exceptionally strong. Uniper has successfully operated in a weakening environment for commodities and energies in Europe. We were able to weather negative sales and volume effects, thanks to our robust business model. We benefited from volatile commodity markets and strong support from closed forward deals as well as hedged volumes in the gas and power business. This strong operating performance is reflected in our Q3 '23 numbers. However, the third quarter results indicate the first signs that Uniper will return to a more normal profit development in the future, as we indicated earlier, due to lower commodity prices and declining margins. Overall, adjusted group EBIT in the nine months of the current fiscal year reached around €5.5 billion. €1.8 billion stem from third quarter contribution, another unique figure. As you may recall that Q3 is normally not the strongest quarter for Uniper in terms of the seasonality. The financial impact from Russian gas curtailment has massively amplified the recorded earnings swing and this year to a positive. And even if one excludes the financial impact of the replacement procurement for Russian gas, the underlying figures are excellent. Operating cash flow in the first nine months of '23 followed the strong development of operating earnings and additional positive working capital effects. Adjusted net income turned around from a significant loss into unprecedented positive territory. At €9.8 billion, reported IFRS net results was significantly higher than the adjusted net income and also showed a significantly higher earnings stream. As you probably recall, at the peak of the commodity price spikes, high provisions for expected gas replacement procurement costs were recognized at the end of Q3 '22. This year, the IFRS net results benefited from the reversal of provisions no longer required as already reported after the first half of this year and from the mark-to-market of derivatives in the commodity market environment with falling prices. On the next slide, I will highlight the main drivers for Uniper's outstanding operating earnings development. The main earnings drivers to date continued to deliver pleasing performance in the third quarter of '23. In gas optimization within the Global Commodities segment, earnings were significantly driven by extraordinary gains for the procurement of Russian replacement gas volumes of around €2 billion compared to a loss of about €9.6 billion reported for the comparable prior year period. Gas optimization recorded another excellent operating results in Q3 '23 from portfolio optimization as well as storage management, ending up at €1.3 billion in the first nine months of the current fiscal year. The Global Commodities subsegment International made a high contribution to earnings, which was mainly attributable to successful LNG trading activities. The commodity power business with optimization and power trading benefited from the volatile market environment. Also, the European Generation segment was a strong earnings contributor to group results. The fossil power plant locked in high spreads through successful hedging and optimization transaction. The significant and market-related decline in fossil power production volumes has so far left only minor financial traces on the back of previously hedged positions. The most significant contributors here were the U.K. CCGT power plant as well as the German and Dutch steam fleet. The latter benefited from the removal of a temporary fossil production cap. Also, our outright power portfolio considerably increased its contribution to earnings. Hydropower was the main earnings driver here, thanks to positive price and volume effects. Nordic hydropower operated in an environment with lower price distortions between the system price and the Swedish price zones compared to the previous year. German hydropower also benefited from improved hydrological circumstances compared to summer '22. The outlook for the outright power portfolio is fairly unchanged compared with the previous quarter. Also high precipitation in the Nordic markets drove higher-than-average reservoir levels. Nordic hedge prices now stand at €45 per megawatt hour and €47 per megawatt hour for '24 and '25, respectively. The item other shows a positive effect reported in the administration consolidation line, which reports the interim profit from the sale of fossil raw materials to the company's own power plants by the trading division. Now, over to the group's operating cash flow. Operating cash flow even exceeded operating profit, resulting in a cash conversion of about 100%. Operating cash flow came in at €6.9 billion, by adding €2.6 billion in the third quarter of financial year '23 alone. In addition to the strong operating results, the development of working capital, again, was very positive in Q3 '23. Lower prices on the commodity markets, in particular, had a positive effect here compared to last year with less capital employed in inventories, for example, for stored gas volumes as gas selling levels were already high by midyear. The item other mainly contains the net impact of the provisions for carbon emission allowances. The strong operating performance also translates into an improved balance sheet, which is on the right track as you can see on the next slide. By the end of Q3 '23, the IFRS equity position crossed the €14 billion mark. Uniper's liquidity position is currently comfortable. The need for cash for margining has reduced significantly as the downturn in commodity prices has eased Uniper's liquidity situation. The rise at midyear was due to a temporary effect and is primarily related to our forward hedging of the missing Russian gas volumes. With the settlement of our gas supply obligations, this effect will widely reverse until the end of the upcoming winter season. Uniper's financial headroom remains very healthy with undrawn credit facilities of about €13 billion. Uniper currently has a revolving credit facility with banks of almost €2 billion and a KfW credit facility of €11.5 billion that has already been reduced ahead of schedule in mid-'23. Further reductions of the KfW facilities are contractually fixed until the planned final termination in '26. And as mentioned before, since the end of September this year, Uniper has no longer drawn on a KfW line after repaying a €2 billion tranche. The financial repair and the healthy OCF generation this year is also reflected in a further increase in the net cash position at the end of September as you will see on the next presentation slide. At year-end '22, economic net debt stood at €3 billion. After the net debt position driven by a strong operating cash flow has turned into a net cash position of €1.5 billion by midyear. The waterfall graph now shows a further increased net cash position of over €4 billion by the end of September. Now I would like to conclude my presentation with an update on the outlook for fiscal year '23. The third quarter is a continuation of our strong rebound in the financial performance during the year. Against this background, we now have refined our guidance given in August for fiscal year '23. As swings may still occur in Q4, we refined our guidance for full year '23 to a range for adjusted EBIT between €6 billion to €7 billion and for adjusted net income between €4 billion and €5 billion for the Uniper Group. For European Generation and for Global Commodities segments, we expect a continuation of the positive development through the last quarter of '23, while the earnings growth is expected to slow. It is important to note that the expected '23 result is largely based on exceptional circumstances as mentioned. Therefore, I would like to reiterate that this result will not be repeated at this level in the years to come. Our main message remains a very good financial performance is the basis for the execution of our strategy announced in August. And at the top of our agenda for the upcoming months are: specifying the greater scope for growth investments into concrete projects; delivering on the remedy measures, in particular, the sale of specified assets and adjusting our long-term gas contract portfolio; and thirdly, establishing the necessary frameworks to become again an independent company and to enable the Bund to exit from Uniper in line with the requirements from the European Commission. The announced EGM is in this regard a logical step. This brings me to the end of our presentation today. I hand back to Stefan.
Stefan Jost: Thank you, Jutta, and we can begin the Q&A session now. Operator, I'm handing it over to you, please.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Anna Webb from UBS. Please go ahead. Your line is now open.
Anna Webb: Hi, good morning. Thank you for your presentation and for taking my question. My first question is on your plan with regards to a potential return to the market. I believe the German government has to present its plan to exit Uniper to the EU by the end of the year. If that's correct? Do you know if this plan will be made public and if we'll get more details by year-end, or is that kind of a background process? So, any update on that? And then second, more sort of specific question on the hedging of the remaining missing Russian gas volumes. Gas prices clearly remain above the pre-crisis levels. So, am I right that this profitable hedging is possible because you've been able to reprice contracts with your customers at a higher level? And if that's the case, does this give potential for continued benefit into 2024, or is that not the correct explanation? Some more detail on that would be really helpful. So those two questions. Thank you very much.
Jutta Donges: Thank you, Anna. The first question with regards to the return to the capital markets, yes, you are absolutely right. The German government is obliged to prepare a exit plan by the end of this year. This is something that the German government has to do as part of the state aid division -- decision of the European Commission. And that is something that is presented to the European Commission, not to the public. So, I assume that this is something -- this exit plan that is not being published. So, I don't think that there's anything that the public could draw from that exit plan. It's something that the German government has to fulfill with regards to the Commission and the obligations the German government has entered into when getting the agreement of the Commission for the stabilization of Uniper. As we have explained, again, we are now preparing and have sent out the invitation to the EGM. This is something that we have to do for technical reasons to provide the technical possibility to pay dividends going forward. That is just providing optionality for the German government if they would want to choose the capital market as we execute for fulfilling the obligations to what the European Commission to sell down the stake in Uniper to 25% plus 1 share by '28. On the second question with regard to the hedging of Russian gas volumes, as we have announced in May this year, we have fully hedged the entire open position from the non-deliveries from GPE. And at that point in time, we have announced that we are expecting more than €2 billion in earnings. Obviously, that is pre-tax. And now we see in the numbers that €2 billion of this has already materialized. The largest impact is to be assumed in '23, a little bit more to come. But as of today, we can see that the largest impact can be found in the nine-month numbers. There's no change of any customer contracts, we stick to our obligations.
Anna Webb: Great. Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Louis Boujard from ODDO BHF. Please go ahead. Your line is now open.
Louis Boujard: Yes, good morning, and thank you for taking my question. I have three, and would like to start maybe with operating performance first. Regarding the fossil business, could you please provide us with the level of CDS and CSS that you have been able to lock in over the last nine months? They have been more likely very exceptional. It could be a nice starting point to make forecast for '24 and '25 onward in terms of a comparison basis. If you could provide an idea of course, maybe not the precise figures of the [indiscernible] spread, but maybe an idea of it? It could be interesting, and as well the level of the intra-year carbon phasing at the end of the nine months could be interesting. Maybe going to the hydro business, pretty strong in spite of outright power gen that was not locked at very, very high level. So, I would like to know if in 2023, you could [indiscernible] level of the performance that has been driven by the pump storage business? It could be also an interesting element and eventually to see how it could evolve in the next few years. And lastly, regarding the optimization, notably in the LNG business, we see the spread between U.S. and Europe might being large for quite a while. How do you see this evolving? And how does it impact your optimization options in the LNG business going forward? Thank you very much. Hello?
Jutta Donges: Sorry. I had my -- I need to put it on my mic. I'm sorry for that.
Louis Boujard: Okay. Thank you.
Jutta Donges: I repeat what I have said, I'm sorry for not you being able to listen to my words. So the first question, if I recall that correctly, was with regard to the CSS or the CDS spreads that we have locked in, you have been asking for the operating performance of our fossil power generation business. We do not disclose those spreads. But as you can see, the outright hedging levels are now almost fully hedged. No significant negative effects as compared to last year. Then there was one question from you on the LNG. LNG is hedged long-term. We have a good operating performance. No forward price look to the outside. I hope you understand that we don't give that. We have -- we try and we have tried to capture the spread on the LNG business and will be shown in the future results as they realize. But please do not forget, I think that is something that you probably are still aware of, there's always some operational as well as delivery risk. We have seen that in Freeport and the '22 numbers and also the beginning of '23 numbers have been reflected by Freeport with the operational issues and the non-delivery there. So that's always something that one has to keep in mind when talking about LNGs despite of the question how we hedge the volumes going forward. Then there was another question, if I recall correctly, on the carbon phasing effect, that was north of €100 million. It's really difficult to guess those effects going forward for the future years as this is depending on the carbon prices, CO2 prices and the intra-year volatility of CO2 going forward.
Louis Boujard: Thank you. Can you provide, if possible, with an idea regarding the hydro performance, in particular with the pump storage performance? How was it this year? And how do you see this evolving in the next few years?
Jutta Donges: Well, on the hydro, as I said before, we have a very good performance in both countries in Sweden and in Germany with higher [appreciation] (ph) over the last couple of months. And obviously, this is something where you cannot give any guidance to the future as this really depends on weather conditions.
Louis Boujard: Thank you very much.
Operator: Thank you. [Operator Instructions] And we have a question from Anna Webb from UBS. Please go ahead. Your line is now open. Anna, your line is now open.
Anna Webb: Hi, thank you. Just taking the opportunity to jump back in. Just one final question from me. Do you -- hello, can you hear me?
Jutta Donges: Yes, we can.
Anna Webb: Can you hear me?
Jutta Donges: Yes. No.
Anna Webb: Sorry, just jump [indiscernible] final question here, taking the opportunity. Do you have any detail yet of any possible repayments you might need to make to the EU? I believe that you have to sort of repay those excess profits? And do you have any detail of the magnitude of that given the very strong result in 2023? Any detail on that would be much appreciated. Thank you.
Jutta Donges: Yeah, Anna, thank you for that question, and the connection was a little bit difficult in the beginning, but I understand that your question was regard -- with regard to the clawback magnitude. This EU mechanism is something that is -- has been established in order to avoid distortions under the competition law. And this is something we are looking at. It's a requirement by the European Commission towards the German government. With regards to the overall magnitude, I think it's really too early to say anything on this. The discussions are ongoing. And I think what is good news what we can say before, and I think we have said that three months ago already, we know that we do not need any further equity injection because we are not going to have any future losses. So, out of the €33 billion that have been decided and to -- and have been potentially given to Uniper, we have only used €13.5 billion. The question is whether that is exactly the amount that has been needed, and that is what this clawback mechanism looks at is this the amount that was needed to stabilize Uniper or is there any overcompensation so more than Uniper would have received. And this is something that we are looking into this. And once we have an answer to that, we will come back to you obviously. Does that answer the question to the extent it's possible today, Anna?
Anna Webb: Great. Thank you very much.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Ingo Becker from Kepler Cheuvreux. Please go ahead. Your line is now open.
Ingo Becker: Thank you very much. Good morning. I've got two questions. The first, I understand you probably cannot give us a figure, but I'm looking for some kind of directional hints here. Some of your competitors lately gave a kind of midterm guidance for fossil flexible operations in generation. And the one or the other also does that for trading, which in your case would be the whole of GloCo, and I was just wondering if there's any chance to talk about that. And my second question would be on the €8 billion transformation and growth CapEx plan that you announced at H1. Can you tell to what extent that has been agreed upon with the government? Or is this rather to be seen as a suggestion from your side at this stage for what to do with the company going forward? Thank you.
Jutta Donges: Thank you, Ingo, for your questions. I'll start with the second one on the €8 billion of CapEx. This is something that we have communicated in August as a result of our strategic review that has been performed in the months ahead of August. And this is the amount that we will be generating over the next couple of years. Just to recall the €8 billion, that's the number that we want to invest in transformation until the end of 2030. So, this is generated by our operations, where we translated into earnings and cash flow, and that gives us this number also taking into account, the financial headroom that we see when we look at the financials going forward. That is something that is not -- has not been discussed or has not been asked by the German government, not at all. This is something that the Management Board of Uniper has developed and that we have discussed with the Supervisory Board obviously. And that is what we need for the transformation of Uniper into a greener company with more stable earnings and the transformation as part of the overall energy transition. So, I hope that answers the question if that is what you were aiming for.
Ingo Becker: Yes. Thank you.
Jutta Donges: Good. The first question with regard to the fossil flex operation, if your question is meant in terms of growth, we want to play a significant role here, details will be disclosed at a later stage when we have decided. Also -- and I think that's something where we -- that we have also communicated in August. This is obviously depending on the regulatory framework, which is still not yet in place. I think those have been the two questions, right, [indiscernible] CapEx?
Ingo Becker: Yes. Is there a kind of normalized EBIT level for GloCo that you could communicate? I mean, we understand that's apparently very distorted this year. And if you look at forward markets, energy prices still are in backwardation. I'm just wondering how that might affect GloCo's results at a normalized level going forward?
Jutta Donges: Yes. Currently, this is not available. It has to be reworked after the last year. So, sorry, no guidance to be given at this point in time.
Ingo Becker: Understood. Thanks very much.
Jutta Donges: You're welcome.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of James Brand from Deutsche Bank. Please go ahead. Your line is open.
James Brand: Good morning, and thank you for the presentation. Apologies if this has been covered already, because I did get cut off at one point during the call. But my questions are on the upcoming -- the right term is to call it capacity market, but the upcoming kind of capacity markets or capacity mechanism that's being considered by the German government to bring online new gas. Two parts to the question. Firstly, do you have any insights at this stage in terms of what shape that capacity mechanism will take? And secondly, if -- assuming, it was designed in attractive enough way, would you be keen to be involved in the build of new gas-fired power stations in Germany? Thank you.
Jutta Donges: Well, the answer on the second question is clearly, yes. That is part of our strategy as communicated in August. On the capacity market and your question whether we know what shape that will have, no, we don't have any further information, probably at the same kind of information level as everybody else, but we expect a disclosure of the plan soon. Obviously, that is something that is very important for us as it will provide the ground for part of the execution of our strategy when it comes to flexible power generation.
James Brand: Great. Thank you.
Operator: Thank you. [Operator Instructions] And as we do not have any more questions registered, I now hand back to our speakers for any closing comments.
Stefan Jost: Thank you very much. The analysts and investors, thanks for joining today. That closes our call. Please remember the EGM on the 8th of December. And otherwise, we see each other at the full year announcement next year. Thanks.
Operator: This now concludes our conference call. Thank you all for attending. You may now disconnect.